Operator: Good morning, ladies and gentlemen, and welcome to the Second Quarter of 2022 CVB Financial Corporation and its subsidiary, Citizens Business Bank, Earnings Conference Call. My name is Liz, and I will be your operator for today. [Operator Instructions]. Please note, this call is being recorded. I would now like to turn the presentation over to your host for today's call, Christina Carrabino. You may proceed.
Christina Carrabino: Thank you, Liz, and good morning, everyone. Thank you for joining us today to review our financial results for the second quarter of 2022. Joining me this morning are Dave Brager, President and Chief Executive Officer; and Allen Nicholson, Executive Vice President and Chief Financial Officer.  Our comments today will refer to the financial information that was included in the earnings announcement released yesterday. To obtain a copy, please visit our website at www.cbbank.com and click on the Investors tab.  The speakers on this call claim the protection of the safe harbor provisions contained in the Private Securities Litigation Reform Act of 1995. For a more complete discussion of the risks and uncertainties that may cause actual results to differ materially from our forward-looking statements, please see the company's annual report on Form 10-K for the year ended December 31, 2021, and in particular, the information set forth in Item 1A, Risk Factors therein. For a more complete version of the company's safe harbor disclosure, please see the company's earnings release issued in connection with this call.  Now I will turn the call over to Dave Brager. Dave?
David Brager: Thank you, Christina. Good morning, everyone. For second quarter of 2022, we reported net earnings of $59.1 million or $0.42 per share, representing our 181st consecutive quarter of profitability. We previously declared a $0.19 per share dividend for the second quarter of 2022, an increase of 6% compared to the first quarter of this year. It represented our 131st consecutive quarter of paying a cash dividend to our shareholders.  Second quarter net earnings of $59.1 million or $0.42 per share compared with $45.6 million for the first quarter of 2022, or $0.31 per share and $51.2 million for the year-ago quarter or $0.38 per share.  The second quarter of 2022 represents a full quarter of financial results, including the assets and liabilities acquired from Suncrest Bank on January 7, 2022. The integration of Suncrest was completed with the consolidation of two banking centers during the second quarter. We previously completed the systems conversion in February.  Through the first 6 months of 2022, we earned $104.6 million or $0.74 per share compared with $115 million or $0.85 per share for the first 6 months of 2021. For the second quarter of 2022, our pretax pre provision income was at a record level of $85.7 million compared with $65.9 million for the prior quarter and $70 million for the year-ago quarter. After excluding acquisition expense, our second quarter of 2022 generated 14% operating leverage over the first quarter of this year and 9% operating leverage over the same quarter last year.  Our net interest margin grew by 26 basis points compared to the first quarter. Although our earning assets benefited from the general increase in interest rates, we also had strong growth in loans and investment securities, with loans growing by $134 million on average and investments growing by $328 million on average when compared to the first quarter. As an overall result, our earning asset yield grew from 2.93% in the first quarter to 3.2% in the second quarter while only experiencing a 1 basis point increase in our cost of funds to 4 basis points in the second quarter.  We recorded a provision for credit losses of $3.6 million in the second quarter compared to $2.5 million in the first quarter and a recapture of provision for credit losses of $2 million in the year-ago quarter.  In February, we initiated a $70 million accelerated share repurchase program, which resulted in the repurchase of approximately 3 million shares through the program termination date of June 2, 2022. In addition, we repurchased almost 1.7 million shares through June 30, 2022, under a 10b5-1 share repurchase program that became effective at the beginning of March.  Now let's discuss loans in more detail. Our new loan production was very strong in the second quarter. New loan commitments were approximately $560 million, which is higher than the same period of last year by greater than 40%. When excluding PPP loans generated in 2021 -- sorry, when excluding PPP loans generated in 2021. Total loans at quarter end were $8.7 billion, a $100.5 million or 1.2% increase from the end of the first quarter. However, after excluding PPP loan forgiveness, second quarter loan growth was $155 million or approximately 7% annualized.  The core loan growth in the second quarter was led by continued growth in commercial real estate loans, which grew by $173 million or 11% annualized. C&I loans increased by $17 million when compared with the end of the first quarter or approximately 7% annualized. The line utilization rate for C&I loans was 32% at the end of the second quarter compared with 31% for the first quarter and 27% for the year-ago quarter.  Dairy and livestock loans decreased by approximately $21 million from the prior quarter as loan utilizations declined from 69% in the first quarter to 66% at the end of the second quarter. Continued loan forgiveness for PPP loans resulted in a decline of $54 million in comparison to the first quarter.  At quarter end, non-performing assets, defined as non-accrual loans plus other real estate owned, were $13 million compared with $13.3 million for the prior quarter and $8.5 million for the year-ago quarter. At quarter end, we had no OREO properties and the $13 million in non-performing loans represented 8 basis points of total assets.  During the second quarter, we had net recoveries of $503,000 compared with net loan charge-offs of $5,000 for the first quarter of 2022. At June 30, 2022, we had loans delinquent 30 to 89 days of $559,000 compared with $2.6 million at March 31, 2022. Classified loans for the second quarter were $76 million compared with $64 million for the prior quarter and $49 million for the year-ago quarter. As of June 30, 2022, classified loans include $17.8 million in loans acquired from Suncrest.  Now I would like to discuss our deposits. At June 30, 2022, our total deposits and customer repurchase agreements were $14.6 billion compared with $15.1 billion at March 31, 2021, and $13.2 billion for the same period a year ago. At June 30, 2022, our noninterest-bearing deposits were $8.9 billion compared with $9.1 billion for the prior quarter and $8.1 billion for the year-ago quarter. During the second quarter, noninterest-bearing deposits averaged $8.9 billion, a $200 million increase from the average balance in the first quarter. Noninterest-bearing deposits were approximately 63% of our average deposits for the second quarter of 2022 compared to 62% for both the prior quarter and the second quarter of 2021.  The bank's funding is entirely core customer deposits and customer repos, which combined had a total cost of just 4 basis points in the second quarter. This 4 basis point cost of funds compares with 3 basis points in the prior quarter and 5 basis points for the year-ago quarter.  I will now turn the call over to Allen to discuss our investments, the allowance for credit losses and capital. Allen?
Allen Nicholson: Thanks, Dave. Good morning, everyone. We continue to deploy some of our excess liquidity during the second quarter into additional securities by purchasing more than $350 million in new securities with yields on average of approximately 3.75%. Investment securities available for sale, or AFS securities, totaled $3.6 billion, inclusive of a pretax net unrealized loss of $346 million. Investment securities held to maturity, or HTM securities, totaled approximately $2.4 billion at June 30, 2022.  The growth in our investment portfolio over the last year resulted in investments increasing from 28% of average earning assets in the second quarter of 2021 to 36% in the first quarter of 2022 and now to 39% on average in this most recent quarter. In addition to the increase in the size of our securities portfolio, the tax equivalent yield on the portfolio grew from 1.7% in the first quarter of 2022 to 1.93% in the second quarter.  Although we grew the investment portfolio, we continue to maintain a significant amount of funds at the Federal Reserve. Our Fed balance averaged approximately $800 million for the second quarter compared to more than $1.6 billion in the first quarter of this year.  At June 30, 2022, our ending allowance for credit losses was $80.2 million or 0.92% of total loans. When excluding PPP loans, our allowance as a percentage of the remaining loans was 0.93%, which compares to 0.90% at March 31, 2022. In addition to the allowance for credit losses, we had $11 million in remaining fair value credit discounts from acquisitions as the most recent quarter end.  For the quarter ended June 30, 2022, we recorded a provision for credit losses of $3.6 million compared to $2.5 million for the quarter ended March 31, 2022, and a $2 million recapture provision for credit losses in the year-ago quarter. The provision for credit losses in the second quarter was primarily driven by loan growth as well as an increase in our projected life of loan loss rates due to the deteriorating economic forecast that assumes very modest growth in GDP, lower commercial real estate values and an increase in unemployment.  Our economic forecast continues to be a blend of multiple forecasts produced by Moody's. These U.S. economic forecasts include a baseline forecast as well as downside forecasts. We continue to have the largest individual scenario weighting on the baseline forecast with downside risk weighted among multiple forecasts. Our weighted forecast assumes GDP will increase by 0.5% in the second half of 2022, 0.8% for 2023 and then grow by 2.5% in 2024. The unemployment rate is forecasted to be 4.6% in the second half of 2022, 5.4% in 2023 and then decline to 5% in 2024.  Now turning to our capital position. From the end of 2021, shareholders' equity decreased by $99 million to $2 billion at June 30, 2022. The equity increased from the end of 2021 by $197 million for the issuance of 8.6 million shares to the former shareholders of Suncrest. Equity also increased due to year-to-date income of $104.6 million, which was offset by $52.2 million in dividends, representing a 50% dividend payout ratio.  Interest rates increased through the end of the second quarter, resulting in an increase in the unrealized loss on our available-for-sale securities and a $243 million decline in equity due to the associated decrease in other comprehensive income.  On February 1, we announced that our Board of Directors authorized a share repurchase plan to repurchase up to 10 million shares of the company's common stock and the execution of a $70 million accelerated share repurchase or ASR plan. In combination, the ASR and a 10b5-1 stock repurchase plan resulted in the repurchase of approximately 4.7 million shares at an average share price of $23.38, which reduced our common stock by $109 million.  Our overall capital position continues to be very strong. Our regulatory capital ratio is well above regulatory requirements to be considered well capitalized and above the majority of our peers. At June 30, 2022, our common equity Tier 1 capital ratio was 13.4% and our total risk-based capital ratio was 14.2%.  I'll now turn the call back to Dave for further discussion on our second quarter earnings.
David Brager: Thank you, Allen. Net interest income before provision for credit losses was $121.9 million for the second quarter compared with $112.8 million for the first quarter and $105.4 million for the year-ago quarter. Second quarter earning assets decreased by $400 million on average from the first quarter due to a decrease of $860 million in average funds on deposit at the Federal Reserve, offset by an increase in investment securities of $328 million and a $134 million increase in average loans outstanding.  Our earning asset yield increased by 27 basis points compared to the prior quarter. The increase in our earning asset yield was a result of a 24 basis point increase in investment yields, a 4 basis point increase in loan yields and a shift in the composition of earning assets with average loans growing from 53% to 55% of average earning assets and investments growing from 36% to 39% while our average amount of funds at the Fed declined from 10% to 5% of earning assets.  Our balance sheet continues to be well positioned for rising interest rates with significant liquidity, including $523 million on deposit with the Fed at the end of the second quarter and approximately $175 million of expected quarterly cash flows from our investment portfolio.  Our tax equivalent net interest margin was 3.16% for the second quarter of 2022 compared with 2.90% for the first quarter and 3.06% for the second quarter of 2021. The increase in our net interest margin was a result of the increase in our earning asset yield while maintaining our very low cost of funds that migrated from 3 basis points in the first quarter to 4 basis points in the second quarter during a period of time that the Federal Reserve increased Fed funds by 150 basis points.  Loan yields were 4.31% for the second quarter of 2022 compared with 4.27% for the first quarter of 2022 and 4.46% for the year-ago quarter. Total interest and fee income from PPP loans was approximately $1.4 million in the second quarter compared with $3 million in the first quarter. Excluding the impact of PPP loans and interest income related to purchase discount accretion, loan yields were 4.2% for the second quarter of 2022, 4.11% for the first quarter of 2022 and 4.33% for the second quarter of 2021. New loan production at the end of the second quarter began to exceed the average yields on the loan portfolio.  Our cost of deposits and customer repos as well as our cost -- our total cost of funds for the second quarter was 4 basis points. Interest-bearing deposits and customer repos decreased by an average of $314 million from the first quarter, while noninterest-bearing deposits grew by approximately $200 million on average. To date, we have experienced limited pressure to increase deposit rates despite the recent increases in market interest rates. However, during the Fed's aggressive rate hiking -- however, the Fed's aggressive rate hiking may impact future customer expectations. During the last rising rate cycle, short-term rates grew at a gradual pace by 225 basis points from 2014 to 2018, and our cost of funds increased by only 8 basis points during that same period.  Moving on to non-interest income. Non-interest income was $14.7 million for the second quarter of 2022 compared with $11.3 million for the prior quarter and $10.8 million for the year-ago quarter. The second quarter of 2022 included $2.7 million in net gains on the sale of properties associated with banking centers. In addition, the second quarter of 2022 reflects a $1 million increase in income on our CRE investments, including a $1.3 million gain from a distribution related to one of these investments.  Deposit service charges were $5.3 million in the second quarter, which was a $274,000 increase compared with the first quarter and were higher than our second quarter of 2021 by 28% or $1.2 million. Our trust and investment services fee income increased by approximately $140,000 compared with the prior quarter while being $205,000 or approximately 6% lower when compared with the year-ago quarter. Market conditions have negatively impacted assets under management and our trust fee income.  Now, expenses. Non-interest expense for the second quarter was $50.9 million compared with $58.2 million for the first quarter of 2022 and $46.5 million for the year-ago quarter. Excluding acquisition expense, non-interest expense decreased by $2.1 million over the first quarter of 2022 and increased by $4 million over the second quarter of 2021. Staff-related expenses declined by $1.1 million compared to the first quarter of 2022, primarily due to lower payroll tax expense, which peaks in the first quarter of every year. The $4 million year-over-year increase is primarily attributable to the additional banking centers and associates acquired in the Suncrest merger.  We have completed the integration and consolidations associated with the Suncrest acquisition. The third quarter of 2022 will reflect the full benefit of savings. However, the impact from the second to third quarter will be minimal.  Non-interest expense totaled 1.2% of average assets for the second quarter of 2022. This compares with 1.36% for the first quarter of 2022 and 1.23% for the second quarter of 2021. Our efficiency ratio was 37.2% for the second quarter of 2022. This compares with 46.9% for the prior quarter and 40% for the first quarter of 2021.  Now to the economy. The California economy continues to improve, but challenges remain. Supply chain issues, a tight labor market and inflationary pressures continue to impact our customers and the bank. COVID transmission levels in California have recently increased and continue to create an uncertain business environment. We remain committed to our associates, customers and shareholders during these challenging times.  In closing, despite the previously mentioned headwinds, we produced approximately $86 million in pretax pre-provision income during the second quarter, which is a 30% increase from the first quarter. The combination of strong loan growth, expansion of our net interest margin and our continuing efforts to closely manage expenses resulted in a record level of quarterly pretax pre-provision income. This growth supported a 6% increase in our quarterly dividend, which represents a dividend payout ratio of approximately 45%.  We continue to focus on executing on our core strategies and supporting our customers through these unpredictable times and I would like to thank our associates, customers and shareholders for their commitment and support. Please stay healthy and safe.  That concludes today's presentation. Now Allen and I will be happy to take any questions that you might have.
Operator: [Operator Instructions]. Our first question comes from Matthew Clark with Piper Sandler.
Matthew Clark: Maybe first on deposits, down a little bit here. I know they're up, on average, at least noninterest-bearing. But what are your thoughts on deposit growth from here? And what are your updated thoughts around the deposit beta, and you take the over or under on that 8 basis points from last cycle?
David Brager: Yes. Some of that depends obviously on how much the Fed, how aggressive the Fed is and continuing to raise rates. But like I said, we're seeing limited requests for higher rates, although it is happening.  The one thing I would say on our point-to-point total deposits, the Suncrest acquisition, they had a number of relationships that we identified during due diligence and after the -- well I'd say, more hot money relationships that we're earning rates that we wouldn't normally pay. And so we made the individual decision on each of those to let them go or to keep them. And as you can -- as you saw in the numbers, some of that was going.  There's a little seasonality between the first quarter and the second quarter as well. I'm optimistic or relatively optimistic on deposits. I think we do have higher percentage of noninterest-bearing, which are primarily operating accounts, and that was stable and grew by $200 million on average. So we're going to compete for relationships. We're not going to let the hot money depositors sort of drive our cost of funds up.  So I think we'll see a little more pressure. I mean this rising rate cycle is different than the last cycle. It took 4 years to raise 225 basis points. It might take 3 months to raise 225 basis points this time. So we'll have to see how that plays out. But relatively optimistic. And look, we're still winning very good deposit relationships out in the marketplace. But as you know, we focus on the total relationship and not just growing total deposits by paying higher rates.
Matthew Clark: Great. And then shifting to the expense run rate you're going to get the full realization of the cost saves from Suncrest. I mean, is it fair to assume that run rate could drift a little bit lower here in 3Q before starting to grow again?
Allen Nicholson: Matthew, I think we pushed most of what we wanted to do in the second quarter. So I think from an acquisition standpoint, it's not going to be material, Q2 to Q3.  I think we talked last quarter as well, there are some inflationary pressures in terms of staff expense, vendor expenses. So I think more than likely, we may see pressure and expenses growing modestly throughout the rest of the year. I don't foresee them going down.
Matthew Clark: Okay. And then the uptick in classified, I know it's still a relatively low number. But given how hyper-focused everybody is on credit, can you just discuss what drove that increase in classified? I think it was CRE-related?
David Brager: Yes. There was -- very candidly, it was one loan that drove most of that increase. And that one loan, we are very well secured, and there's no issue there. We still remain very confident overall. The credit metrics are better today than they were pre-pandemic and really pretty much during any time. I know there's that little uptick, but it was really related to one loan secured by two properties that were at a very low loan-to-value, sub-55%.  We just wanted to -- we always create a little more cautiously maybe than others, but I don't feel that there's any big movement in the overall credit of the bank.
Matthew Clark: Okay. And then last one for me, just on share repurchase activity. Should we assume you remain active despite kind of growing economic uncertainty here?
Allen Nicholson: Well, the Board announced a $10 million share back earlier this year. So we've -- not quite 50% of that. But ASR did make up a big part of that, which is close. We have an active 10b5-1 but it's going to be dictated by share price. So don't really know what will happen the rest of the year. But I think we accomplished a fair amount of what we wanted as you think about the $8.6 million that was issued for Suncrest and the fact that we bought more than half of that back, so.
Operator: Our next question comes from Kelly Motta with KBW.
Eleanor Yuan: This is Eleanor on for Kelly today. So I guess to start, loan growth was pretty solid, and you've always had kind of steady solid loan growth. But it seems to be like a little more reserve than others. Is that a function of activity in your market or like conservatism/competition?
David Brager: Well, so just to kind of go to the basics for us, I mean we are -- we want to bank the top 25% of clients in their respective industries. And by doing that, the pie isn't as big as everybody else. And we want to maintain pristine credit quality, which is an important factor.  We've grown the last 2 quarters at 8% and 7% annualized more than, I think we've grown. I can't even go back where we've had 2 consecutive quarters of that level of loan growth. Our pipeline still remains strong, and we don't give guidance here, but I'll say our goal is kind of that mid-single-digit.  I do think, although our pipeline still remain pretty strong, they have softened a little bit from the first quarter. And I do think, depending on what happens with rates and the economic picture, there could be some slowdown there. But that 7% and 8% or 8% and 7% the last 2 quarters was pretty robust for us, but that was due to the hard work of our teams. And I think we're probably trending back to where we normally would be, which is in that kind of 4% to 5% range.
Eleanor Yuan: Got it. That's helpful. And then also on the loan growth, just thinking about how is competition in your market right now? Are players acting rationally? Or are you starting to see people sort of compromise on terms or standards?
David Brager: I guess it's our perspective, we always think they're acting irrationally. Just joking, but we're just very disciplined in how we underwrite. And so we're not into -- we will compete on price. We're not going to compete on structure. And so for us, it's more important to maintain that.  I would say the competition generally, it hasn't been as bad as it was maybe 2 to 6 quarters ago. I think for the most part, people are seeing that there -- we might be going into a more challenging economic time, so they're less willing to make exceptions. But we're still seeing some pricing irrationality with the recent increases in rates. But for the most part, we've been able to originate loans where we -- as we mentioned, kind of in that plus that 4.5% plus range, which is significantly better than previous quarters.
Operator: Our next question comes from David Feaster with Raymond James.
David Feaster: Maybe just kind of digging a bit more into the growth question. I mean how much of this expected slow -- obviously, we talked about competition a little bit. But I mean, what's your appetite for growth here? I mean we've touched on some of the -- in your prepared remarks, some of the challenges in the economy. What is your appetite for credit here, just given the economic backdrop? How much of the deceleration is strategic versus your client slower demand for credit?  And maybe just any color you have into the pulse of your clients at this point? Are they still pretty optimistic? Or are you starting to hear a more cautious tone?
David Brager: So I'll take the second question first. And I think you're right. You're spot on. I think our clients are definitely more cautious. As you and I have discussed in the past, we do customer luncheons myself and our banking division manager and the regional manager along with different centers and different locations. And I would say the last couple we've had have definitely been much more cautious, the customers have been. So I think there is some of that that's going to impact that, David.  The one thing I would say to the growth, I mean, look, we want to continue to move the mix of our balance sheet. We want to do more loans, but we're going to do them under our underwriting guidelines. And I think some of that is going to impact growth because we're just not willing to make exceptions to the credit policy. We've never really had -- I mean our credit underwriting guidelines have remained the same pre-pandemic, during the pandemic and today and going forward.  So we're going to remain consistent in how we look at deals. And if it doesn't meet our criteria, we're not going to try and make it fit. So I think you're on the right track where I think some of that growth will be -- there'll be some headwinds just based on the fact, number one, people are going to maybe want to not invest like they would due to their cautious nature. We're going to underwrite in the same manner and not allow for degradation on the origination side as far as credit quality is concerned.  So there's definitely some headwinds, but we still want to get quality relationships, and we're going to work hard to do that. And I think that's one of the things that's differentiated us over the history of the bank and just more recently, during the last few quarters where we've had pretty solid loan growth that we feel is high quality.
David Feaster: That's helpful. And then maybe just kind of taking that at a high level just on asset quality. I mean you've got a really good pulse on the economy. Again, like you said, we talked about some of the challenges, talked about some of the changes in the tone of your client base. Just as you look out, I mean when we talk about where we're strategically heading, I mean are there any segments that you are more cautious on? Or maybe we're starting to see some early signs concern that we might be starting to avoid? Just curious, any high-level thoughts on asset quality. Obviously, you talked about -- I mean, you guys are pristine, but just any comments would be helpful.
David Brager: Yes. No, I -- again, I think there's a couple of areas that I'm a little more concerned about. One of those is just C&I in general, but I'll narrow it down. With the Fed increases, that's impacting those operating lines specifically for smaller companies in a greater way. And I think that, that's one of the things. I think there could be a number of little ankle biter problems that we have to deal with on smaller lines of credit and things like that.  I'm -- I feel very -- I shouldn't say very, I feel relatively confident in our office. Commercial real estate would be the one collateral type that I think most people would say is an issue, but we underwrite it the right way, and we monitor it very closely. SBA 7(a). A lot of those SBA 7(a) loans, which we don't have a lot of, but a lot of those SBA 7(a) loans are loans that adjust -- they're based on prime. Many of them adjust quarterly. So a lot of those loans really haven't experienced this increase in rate yet, and they'll start to see that, especially after beginning in July.  So I think if I had to rank it, I'd just say kind of smaller company, smaller loan size, C&I, SBA 7(a) with office at distant third.
David Feaster: Okay. That all makes sense. And then just last one for me. Any thoughts on M&A.? I mean, you've obviously got a strong currency. You're a disciplined acquirer. Just curious whether the uncertainty in the economy and some of the stuff that we've talked about changes your appetite for M&A at all? And any color on how conversations are going, seller expectations and what you'd be interested in? Obviously, the high level hasn't changed. But I don't know, given where we are, would we be more focused on the smaller end of the spectrum? Just curious, any commentary on the M&A environment.
David Brager: Yes. No, it's a great question. It's something we talk about quite a bit. And I think for the most part, the overall, as you mentioned, the high level hasn't changed. We're still looking for opportunities in that $1 billion to $10 billion range within or adjacent to our market. We want those banks to be as similar to us as possible, which no one's exactly like us. We want to be able to make whoever we're talking to kind of CBB them, turn them into Citizens Business Bank, and we think we can make more money on their customers than they can make on their customers. So that's sort of the high level, kind of narrowing it down.  Conversations are still there, but conversations have definitely slowed. I think banks don't generally get bought, they get sold. And what happens is especially when prices -- the share prices are down for most banks, they don't want to sell at a low point, right? And they all think they're worth more. And I think the credit thing is a part of it.  I think the other thing that we have been talking a lot about also right now with the tight labor markets is what can we get from a people perspective. And so it might not be kind of our typical 40% cost-save deal. It might be a 25% or 30% cost-save deal because you might keep a few more people just to make sure that we have the team and the people that we need. But generally speaking, we do have -- we traded at pretty high multiples to book and a pretty high multiple, PE multiple. So those are advantages for us. But just because we can pay more, doesn't mean we will pay more. So we're going to be cautious about that. And any due diligence that we would do going forward, that sort of economic slowdown and the credit quality would be an enormous part. It always is, but it might even be bigger now.
Operator: Our next question comes from Ben Gerlinger with Hovde Group.
Benjamin Gerlinger: So this question is kind of more philosophical in nature. I mean the stocks are at all-time high today. You have a pretty notable revenue uptick with loan growth and was obviously moving interest rates coming. With this newfound revenue, is there any new initiatives that are now on the table and kind of juxtapose against that? What are kind of priorities 1, 2 and 3 years? I mean, you've done a pretty good job managing costs, which is the one thing you can fully manage but just kind of get a little more granular on priorities.
David Brager: Yes. So I mean, look, our number 1 priority is to continue to bank the best small- and medium-sized businesses in California. We want to grow what we call our same-store sales, which is kind of priority number 1. We always are looking at that. We evaluate that and inspect that every single month.  I do think, to your question about investing with some revenue upticks, we are going to remain disciplined. We always look on the investment side or the -- I'll say, the optimization of how we do things side. That's something that we talked about a lot. And so we're going to continue to invest in things that can make us more efficient and create capacity for us to do more. And I think that's been a hallmark of our organization.  And look, if the right opportunity came along, there's nothing imminent, but if the right opportunity came along, we're ready to do that and open to do that, would just have to be the right opportunity.  So I think -- look, we had one of our, if not our best quarter in history. And I think the consistency in what we do is really the key. And so there's not anything that's sort of off that path that we're looking to do. But we are always looking to improve our efficiency. We're always looking at how we can deliver to our customers in a better way. We're always looking at our product array. So all of those are things that we evaluate.  We're going to go into our strategic planning session with our Board in August. The management team is preparing for those presentations. And I think at the end of the day, there's nothing that's really different. It's again just honing and continuing to improve on how we do things. So it's kind of boring, but it's very consistent.
Allen Nicholson: Ben, we might be a little bit more focused on de novo, which has been consistently part of our strategy, but there may be more opportunities in the near term on some things like that.
David Brager: And we can find the right teams, for sure, a good point, Allen.
Benjamin Gerlinger: Got you. No, that's very fair. It's clearly in the catbird seat here on optionality. And then my second and final question, kind of more towards the margin itself. Obviously, you guys have a very clear line of sight on whether it be hot money or people asking for higher rates. But with the Fed moving 75 weight in the quarter and now likely to do another 75 in July, which will be early in the quarter, that 150 or so, for lack of better term, you're going to feel almost the entirety of the effect for -- throughout the third quarter. Do you think it's safe to say you're going to get another 25 to 26 basis points of margin expansion?
Allen Nicholson: Well, we don't actually give guidance as you know, Ben. I would say a couple of things. One, the benefit on the asset side of some of that certainly is also delayed when you compare yield as of the last day of a quarter to the prior quarter versus the averages. But I think we took a little bit of our liquidity off the table. And so I think from a modeling standpoint, our asset sensitivity has probably diminished a little bit, 15% maybe from what we've disclosed in the past. But it's still -- we still think it's fairly robust.  And the big question, of course, is going to be the deposits, but we're going to continue to grow through relationships and transactional hot money we won't focus on.
David Brager: Yes, Ben, I'll just add to that real fast, and you and I have talked about this before as well. But when you have 63% of your deposits and operating funds, noninterest-bearing, there's a zero beta on that. It doesn't mean that the mix can't change a little bit, which is possible. But for the most part, we focus and look at where we're going to increase rates on relationships based on the relationship.  So if you have a $10 million customer that has $5 million in noninterest-bearing and $5 million in money market, 50% that relationship is going to remain at zero. The other 50%, even if we have to increase the rates a bit, it's still overall going to be a very low-cost relationship. So we -- that's how we evaluate it and that's how we look at it, and it's relationship by relationship.  So I think your point is right, there will be more pressure but we're in a very good spot. And I think the one thing we didn't mention and nobody has really asked is I think with the inflationary pressures, there's just going to be a little more burden on everybody's cash that they have, not just our bank, but other banks as well. Everything is costing more.  So some of that burn is going to happen. We didn't see it in our operating deposits, but I do think that, that is also a factor in going forward here over, at least the next couple of quarters. I don't think we're going to be able to maintain a 1 basis point on a 150 basis point increase, but we're going to do our best.
Benjamin Gerlinger: Yes, that makes sense. So I think it's pretty much for me, congrats on a great quarter and best of luck for other half of the year.
Operator: [Operator Instructions]. Our next question comes from Clark Wright with D.A. Davidson.
Clark Wright: This is Clark Wright right for Gary Tenner. First off, just a clarification on Slide 13 here. You have the core loan growth at 7%, but it looks like the Suncrest acquired loans are flat quarter-to-quarter. So is the net loan growth this quarter then constrained at all by any runoff on the acquired Suncrest loans?
David Brager: Yes. Well, a little bit. And the one thing about the $775 million, that included PPP loans as well. We just separated -- if you're looking on Slide 13, you can see the PPP loans are shrinking. But yes, the Suncrest loans, there is impact, but the Suncrest centers have also been generating new loans. So the net-net was the numbers that shown there was very close.
Clark Wright: Got it. Appreciate that. And then my next item would be, looking at industrial CRE and given that it's been a sizable driver of production over the last 2 years, are you seeing any shift in demand for the warehouse space? Or are you pulling back in that space given economic slowdown that we could perceive here in the next few quarters?
David Brager: No. We feel industrial is one of the strongest that primarily where we're located in Southern California specifically is a distribution hub and very infrastructure mature. So it's not like they can just go down the street and build another 1 million square foot warehouse. So we feel very strong about that.  It is the largest of our CRE concentration. And when you look at it at $2.2 billion, 50% of that is owner-occupied, and we underwrote that at origination of 51% loan-to-value. And it's pretty granular for us with an average loan size of about $1.550 million. So we would want to do more industrial if we could, especially in the markets that we serve.
Clark Wright: And then lastly for me, if you look at the cash or cash equivalents, it's just under $700 million now or 5% of earning assets. Is that a level that you're comfortable with holding for the foreseeable future?
Allen Nicholson: Ultimately, we'd like to see that lower. And every quarter, we've said we're trying to balance deploying some of that as well as maintaining flexibility on the balance sheet. So it could decline as we go out through the rest of the year. So I would say, historically, it's still more than we would normally like. But in the current environment, we're also probably cautious.
Operator: At this time, there are no more questions. So I'd like to turn the call back to Mr. Brager.
David Brager: Thank you, Liz. I want to thank everybody for joining us this quarter. We appreciate your interest and look forward to speaking with you in October for our third quarter 2022 earnings call. Please let Allen and I know if you have questions. Have a great day, and we'll talk to you soon.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.